Operator: Good morning ladies and gentlemen, and welcome to the Voxtur Analytics Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct the question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday July 26, 2023. I would now like to turn the conference over to Mr. Jordan Ross. Please go ahead sir.
Jordan Ross: Good morning, everyone. Thank you for joining us for the Voxtur fourth quarter and year-ended 2022 and first quarter 2023 earnings call, where we will discuss our financial results and business highlights. Please note that our Q4 and year-ended 2022 results were released July 17, 2023 and our Q1, 2023 results were released July 24, 2023, and can be accessed on SEDAR and our website at voxtur.com. Joining me today are CEO, Gary Yeoman and CFO, Robin Dyson. We will begin with prepared remarks and then move into a Q&A session. If we are unable to get to your question, you are always welcome to contact me directly at jordan@voxtur.com. Robin will begin by reviewing our [Indiscernible]. After that, Gary Yeoman [Indiscernible] through varies organic and inorganic growth initiatives as well as some of the operational efficiencies. Before we get started, please be advised that some of the information that we will share on this call may contain forward-looking statements. We caution you not to place undue reliance on forward-looking statements, and undertake no duty or obligation to update any forward-looking statements as a result of new information, future events, or changes in our expectations. Further, on today's call, we will report using both IFRS and non-GAAP financial measures. We use these non-GAAP financial measures internally for financial and operational decision-making purposes as we believe that they provide a meaningful measurement of financial performance and valuation. These non-GAAP financial measures are presented in addition to, and not as a substitute for financial measures calculated in accordance with IFRS. To see the reconciliation of these non- GAAP measures, please refer to our press release distributed on July 18, 2023 and July 24, 2023, as well as our management's discussion and analysis, both of which are available at SEDAR -- on SEDAR and on our website at voxtur.com. A replay of today's call will also be posted on our website. Finally, please note that all references to amounts or currency during today's call are in Canadian dollars, unless otherwise stated. I'll now turn the call over to our CFO, Robin Dyson.
Robin Dyson: Thank you, Jordan. Good morning, everyone, and thank you for joining us today. As I am sure you should be aware, in March of this year, the company's auditors at that time, Marcum LLP, resigned from the Voxtur Annual Audit Engagement, providing no reason for such resignation. This left the company in a very difficult position with respect to on-boarding a new audit firm and starting the audit process over entirely. We have worked extremely diligently with MNP, the company's new auditors, to file our audited annual financial statements. This was completed July 17. Our 2023 Q1 Financial Statements Profiled July 24th. As a result of the late filing of the Q1 material, our shares were halted from trading. A revocation of this halt has now been issued by the OSC and we have filed an application with the TSXV to resume the trading of our shares. We'd expected trading will resume in the very near term, and we will keep investors updated on this status. Before discussing financial results, I will first address market conditions and Voxtur's response. U.S. Prime interest rates increases over the course of 2022, were unprecedented. From the beginning of 2022 to the end of the first quarter of 2023, rates increase from 3.25% to 8%. This rapid increase in interest rate had a detrimental impact on the revenue of various Voxtur lines of business, particularly appraisal services, capital markets, and title. In response to our lower than expected revenue, the company has focused on cost reductions and adjustments to the company's strategy, which Gary Yeoman, our CEO will speak to further later in this call. I will now address material changes in the company's balance sheet. In 2022, the company acquired Blue Water. The finance, the cash component of the purchase price of this acquisition, the company expanded its credit facility with the Bank of Montreal by 30 million USD, thus increasing long-term debt recorded. As at March 31st, 2023, the company was not in compliance with one of its financial covenants, which was not to its credit facility. As the company does not have a waiver of this covenant for at least one year beyond the recording date, and accordance with IFRS, the company has reclassified the full outstanding balance as current, as opposed to long-term in the 2023 Q1 financial statements. With respect to the year-end December 31, 2022, the company completed goodwill and intangible asset impairment testing, and determined that an impairment loss of approximately $185 million which required to be recorded, thus reducing goodwill and intangible assets by this amounts. This impairment loss is not reflective of what the company believes the related future value of the acquired businesses will be, but rather than what can be fully supported without making future growth assumptions beyond the very modest amount. Voxtur is not alone in recordings impairment losses in 2022. Other comparative companies have recorded proportionately greater losses. Shifting to our discussion of revenue. Revenue increased to $150 million for fiscal 2022 as compared to $96 million for fiscal 2021. This increase is primarily attributable to an increase in U.S.-based revenue resulting from business acquisitions, which closed between September 2021 and September 2022. For the first quarter of 2023, revenue decreased to $28.7 million as compared to $40.8 million for the same period than prior year. This decrease was primarily attributable to one, for negative impact of significantly increased interest rates in 2023 on our appraisal services line of business, and two, the negative impact on revenue of amendments made to a services agreement with the related party, which took effect January 1, 2023. While the amendments resulted in decreased top-line revenue, it allowed the company to shift responsibility for a significant amount of associated direct costs to the related party. I will now address gross profit. Gross profit increased to $55 million for 2022 as compared to $37 million for 2021. This increase is primarily attributable to the increase in revenue that we have discussed and the composition of revenue due to business acquisitions completed in the latter half of 2021 and 2022. Despite the decrease in revenue in the first quarter of 2023 compared to the first quarter of 2022, gross profit was relatively flat, decreasing from $13.9 million to $13.5 million. This primarily relates to the composition of revenue and cost improvements. We are committed to growing revenue, however, our primary focus is attaining profitability. I will now turn the call over to Gary Yeoman, our CEO, to provide a business and strategy update.
Gary Yeoman: Thank you, Rob. And good morning, everyone, and thank you for joining us. And thank you for being Voxtur shareholders. I want to express my sincere appreciation for our shareholders that have remained loyal during this difficult moment in time for Voxtur, due to the unexpected change in our auditors, which was the sole reason for the delay in releasing our financial results. Before I get into the business updates, I'd like to start by acknowledging that, from a financial results perspective, this is certainly not where many of us thought we would be. However, I am extremely proud of our team and what we have accomplished in the face of current market conditions. With unprecedented macroeconomic conditions and historically high rates, it has forced us to re-evaluate the priorities and product roadmap. I want our shareholders to know that while we remain focused on strategic growth, we have instituted a financial plan that specifically focuses on near-term revenue opportunities and high-margin products, so that each of our business lines are profitable on their own. From a corporate perspective, we have had to make some very difficult decisions by reducing our headcount by approximately 40% over the last year, which has translated into a reduction of our compensation expenses by approximately 35%. It is imperative that we align ourselves with our shareholders and the market that prioritizes profitability over growth at all costs. Now, I'll discuss some of the highlights and our roadmap for getting to profitability. I'll start with Blue Water, which provides solutions for mortgage asset valuation and pricing, mortgage asset trading and distribution, and mortgage advisory and hedging, and has since launched a shared due diligence process for the mortgage assets being traded. This is a real differentiator in the marketplace. Voxtur acquired the Blue Water business to diversify its revenue streams from the primary mortgage market and create opportunity for new revenue streams for Voxtur's core products and data assets. Furthermore, Blue Water has recently launched its correspondence as a service platform that connects mortgage originators with mortgage investors. The launch of this product gives Voxtur exposure to hundreds of mortgage originators to cross-sell its products in the primary market. Our valuation business has gone live with two new products to future proof its business in light of the new valuation methods being accepted by GSE. Our automated report writer product, ReportsNow, gives appraisal professionals a quicker way to get to valuation without sacrificing quality. Our walkthrough application allows industry professionals to collect property information as a result of the GSE's new appraisal waivers. We are also working diligently to integrate our industry-leading Apex Sketch application, which we believe is a differentiator in the market. The title business has switched to a variable cost model that we believe will allow us to get this business back to profitability, which is a requirement for all our businesses as previously mentioned. Our property tax business has made some great gains both from a product and client perspective. More specifically, they recently launched their cloud-based sketch database that allows professionals to create or update a floor plan in real-time while in the field. This allows for the build-out of our national sketch database creating new revenue opportunities. I want to re-emphasize that our focus continues to be on leveraging our data assets through our various software platforms as a foundation for reducing costs and inefficiencies in real estate transactions, ultimately making homeownership more affordable. We are proud of the advances we have made thus far, but we still have a long way to go. Lastly, Voxtur's original thesis and position of acquiring other businesses over the course of the last few years has provided us with a solid roadmap and distribution model for our technology solutions. Acquiring these businesses has put us front and center to the top 100 mortgage lenders, top 40 mortgage service providers, 190,000 real estate professionals, 1,700 title agents, and countless industry supporters. We are all working very hard to integrate our acquisitions with Voxtur Technologies to create innovative solutions, add new clients, and expand wallet share with existing clients and leverage cost synergies. Finally, I want to re-emphasize what I have communicated to our employees and management team. We will ultimately be judged on our performance and not our potential. As a result, we will remain focused on profits. Thank you all for joining us on the call today. We appreciate your time and interest. We'd be happy to answer any questions you may have at this time. I'll hand it over now to the operator to start the Q&A.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions]. Your first question comes from the line of Christian Sgro from Eight Capital. Please go ahead.
Christian Sgro: Hi, good morning. My first question will continue on your commentary on achieving profitability through the year. How much of the recent restructurings are worked into the current operating profile? How much more benefits do you see from that? And do you think of a target internally of achieving cash flow profitability? Could you just walk us through any timelines there?
Gary Yeoman: Well, definitely, our goal is cash flow positive, EBITDA positive. And it's inevitable. It will happen, but I can't give you the exact time to this purpose. Obviously, I've got to be very careful on future guidance. But as I said at the outset question, profitability is non-negotiable. And we believe that with the austerity measures that we put in place and a lot of the contracts that are being invoked right now, that it certainly is a possibility this year. But again, I'm not going to be held to it, but that is our goal.
Christian Sgro: Perfect. I'll ask one follow-on on the Blue Water business. Just any commentary you could provide around how Blue Water performed in Q1 and how it's trending into Q2 and the rest of the year?
Gary Yeoman: So, Blue Water in Q1, again, they were affected, their business was affected because of the interest rates increasing. And it's kind of a double-edged sword. But in virtue of the rates increasing, our clients basically had a pause in some cases by saying, okay, where are these interest rates? When is it going to stop? What impact is that going to be on the MSAs? What are MSRs? How is that going to impact pricing? And how is that influencing our quota that we can have an investments in this field? So, in a lot of cases, because the price has increased from $4 to $6 in some cases, their overall impact and valuation of investment in that precluded them from making even more investments. So there was a bit of a loss. But what we have found during the second quarter and what we believe will be beyond is back to business again, with the business in general. It's certainly also been augmented by the opportunities that we have just entered into. We signed an agreement with the Mortgage Collaborative. They have over 250 correspondents, and it's a great opportunity for AI [ph] to sell our due-diligence products that digitized due-diligence products that certainly will be front and centre. As most realize right now, there are a lot of issues with buybacks that Fannie and Freddie are asking people to consider. Historically, there hasn't been a lot of due-diligence. A lot of companies today look at 5% of the sampling and use that as an indicator of what's happening going forward. We're able to provide a digitized review on 100% of the platforms at a fraction of the cost of what it currently is on the 5% overview. And so, for us, being able to do it from a digitization standpoint, significantly reduces the risk. And what we've found now is that there's pre-production closing and post-production closing. But with the pre, we're finding a lot of the vendors are wanting us to review their portfolio up front and find out where there are anomalies, where there are loans that essentially may be forced to buy back, because it's missing parts of whether it's on the mortgage documents or certain information with respect to tax title evaluation. And so, what we're able to do is cleanse, for the most part, up to 92% of that review. The one thing that we can't recovered [ph], obviously, is fraudulent activities or misrepresentation, but it certainly we do believe that we can cover 92% of most of the deficiencies that are out there right now. So, we're really, really buoyant with Blue Water and then the new offerings that they have. So, we expect the third quarter, the fourth quarter to be very productive for them.
Christian Sgro: That's all helpful color. Thanks for taking my questions this morning.
Gary Yeoman: Thank you, Christian.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Colin Fisher from Garrison Creek. Please go ahead.
Colin Fisher: Good morning.
Gary Yeoman: Good morning, Colin.
Colin Fisher: So, I do know this is incredibly hard and I am actually impressed with how quickly you turned around the financial reporting given the roadblock decisions on that. If you look across the marketplace, revenue declines have been fairly catastrophic for some companies, as much as 70%. Others more in line with 40% to 50%. So, in the macro environment, you're not looking too bad. One of the colors, one of the mentions in your [Indiscernible].
Gary Yeoman: You're breaking up, Colin. I'm losing you. Operator, I'm not hearing Colin. Are you hearing him on your end?
Operator: No, sir. Mr. Fisher, are you still on the line?
Gary Yeoman: I think we'll move to the next question. Call in after.
Operator: Sure, absolutely. We'll proceed to the next question. Your next question comes from the line of Rick Sherman. Please go ahead.
Unidentified Analyst: Yes, good morning. Could you refresh my memory as to when you bought Blue Water, what were the revenues at that time when you bought it? And then, what did you, again, what was the cost of the acquisition?
Gary Yeoman: I'll turn this over to Jordan. I know that we were reviewing that last night. Jordan?
Jordan Ross: Hi, Rick. Just to, by way of background, we announced the acquisition in late September of 2022 for a purchase price of US$101 million. The composition of that purchase price was a $30 million cash and then issuance of 170 million shares to be distributed over the course, quarterly for four years. I'll stop there at the moment. Do you seek or have any other info?
Unidentified Analyst: Yes. Well, over the four years, does the, regardless of any performance metrics of the company that you acquired, are you still required to issue those shares? And if you issue those shares, are they, it's regardless of what price the shares are at? Or is it have to meet some dollar amount standard? And then the second part of the question was that when you acquired them for 100 million, let's say, what were the revenues at the time, much less if they were profitable or not profitable, but what were at least they doing revenue-wise when you acquired them? And how does that compare to what kind of revenue they're doing now?
Jordan Ross: Yes. So the answer is, without getting into the exact details of the definitive agreement, there are certain indemnities, reps and warrants, but those shares have been accounted for and on a distribution schedule that isn't necessarily contingent on the financial performance of Blue Water and/or the share price of the company. Hopefully that answers that question.
Unidentified Analyst: Okay. On that point then, just so if I understand you correctly, whether the price of the stock is $0.15 or $1, it's not going to make a difference in terms of the obligation of the shares that are going to be issued?
Jordan Ross: That's correct.
Unidentified Analyst: Okay. And as to the revenue point, are you able to disclose that?
Jordan Ross: We didn't disclose that in the press release, so I'd prefer not to at this time. And yes, I don't know how else to answer that. I'd prefer not to give guidance. I'll just maintain what we disclosed at the time of the acquisition.
Unidentified Analyst: Okay. In future quarters whatever, is there going to be any breakout of revenues and maybe profitability on per business?
Jordan Ross: Yes, absolutely. To be fully transparent, we are working and hoping to issue new revenue reporting and segmentation. Unfortunately, with the disruption and the unexpected resignation of the auditors burden, we focused on getting the financials out and in compliance ASAP. And so that's unfortunately pushed out that initiative, but absolutely we look to and hope to report revenues in a new way as the business has evolved over the years to give our shareholders more clarity, both on the revenue streams, the profitability of each of those businesses, and hopefully the ability to model in your own growth assumptions as well. So absolutely, that is a corporate initiative amongst the management team to provide updated reporting.
Unidentified Analyst: Yes, I would strongly recommend that. It makes it a lot easier to figure out whether the direction the company's going and where the growth drivers could be.
Jordan Ross: Yes.
Unidentified Analyst: I think it'd be very useful. Last question is just, have you -- when you're doing your modeling, I mean, you basically can take either, for lack of a better word, a very conservative, like, a lot of people have a different opinion as to ultimately when the interest rate hikes are going to stop, much less trying to predict that. That's probably easier to predict at some point than if and when they're ever going to come back down or the Fed's going to cut anything versus just staying higher for longer. On the assumption that you've got what is currently in the public sphere, let's say, we're going to have an increased today and then potentially one more, but assuming the rates stay elevated without any real cuts, much less a recession for the next year or two, I mean, are you modeling in that kind of negative scenario as you're going forward and trying to address a combination of your balance sheet and also the profitability of the business?
Gary Yeoman: Yes, correct. It's Gary back on the line. Of course, we're aware of that and we're certainly cognizant of and probably in agreement with that. But back to our business strategy which is even more important. Using data technology and the distribution that we have right now, we're offering products that don't exist in the marketplace. They're obviously more affordable, it's more efficient, more accurate. And because of that, our market penetration to the existing businesses and all facets of our business are readily apparent. And as a result, even if there is some sense of reduction in, let's say, originations in the marketplace, our penetration is going to be about people. There's no question about that. The days of relying on old relationships and basically relying on manual work to be done is just not going to work. And so, as I said, being more efficient by using proper technology, by having an abundance of data, and more importantly, because of the businesses that we're in, the distribution is extremely important. So, obviously, everyone would like a little bit lower interest rates because the market will be more bountiful for all. But quite frankly, we use this opportunity now as an opportunity for gain, because it's the people that can do things quicker, cheaper, more efficient, more accurate, are the people that are going to penetrate into the business line. So, our market penetration is going to increase. And we don't think that there'll be any material negativity, because I think we've bared the brunt of most of that. And our new products right now, we're going to see us kind of rise to the top and extremely confident of that.
Jordan Ross: Yes, I think you have to run the business based on the way the market is now. And obviously, if rates fall substantially without that being caused by a massive recession, and the housing and mortgage market increase, that would just give you a tailwind behind you, but probably it's based on hoping, hope should not be the strategy, I guess.
Gary Yeoman: Well, yes, I think the other thing, too, is that we've pivoted from a refinance to a new purchase money market, right? And so, the ability to be able to pivot relatively easily, I mean, obviously, rebuys are down significantly. And we did have a good portion of our business dealing with that. And we've been able to pivot in the new purchase. I mean, that is evident with some of our title offerings right now. We're joint venturing with a number of real estate brokers and agencies. And having the ability to have a few hundred thousand, a few hundred thousand real estate agents out there working in tandem with, our new service offerings, like attorney opinion letters, our title starter kits that we're being able to offer title companies at half the prices costing them to do today. So, most of the work that we're doing right now in, certainly on title and valuation is our ability to be able to pivot and move to the new purchase market.
Unidentified Analyst: Okay. My last is more of a suggestion than anything else, is if you get, when the business becomes more stabilized and starts growing again, I think it would be useful, if this is even possible, that you sort of make it easy to generally model that if, let's say, your overall profit margins across the various businesses as an average, let's say, assume, I'm just throwing this out hypothetically, let just to say 50%. If you would be able to, be able to state publicly at some future date that, okay, if we have revenues of $150 million a year, or make it to whatever number that number might be at these profit margins, this assures us of not only positive cash flow, but profitability, so that somebody can ultimately model, what's the base case for turning profitable, and then model from that point, pretty much how much drops to the bottom line with each increase of $1 of revenue. That's all for the future, but that's something I think would be very helpful for investors down the road.
Gary Yeoman: Yes. That's a good point, Rick. I mean, a caveat there is obviously we're changing the model of our business right now. And so, that's, abundantly clear that that's something that we can do in the future. But I think a good testament, which is not been discussed yet today is that, when we kind of started this Voxtur a couple years ago, our gross margins were at 28%. And today, even though our revenues fell, our actual gross margin as a percentage increased to 47%. So, we've seen almost like 75% increase in our gross profit margin since inception. That is as a result of being the implementation of our standard [ph] measures. And so, cutting out costs, cutting, for example, acquisition bonuses are gone now. A number of different things that we've done. And just using technology, obviously, along with our exposure to all of the distribution entities that we deal with. Everything is, it's kind of culminated in what will be our new accretive profit margins going forward. So, we'll certainly take that in mind. And I think that the more that we can provide all of that information to the investors, the more it gives us an opportunity to enlarge our shareholder database, because I think that we've got some terrific people here, some extremely brilliant mathematicians and coders and people that understand the business substantively, both as practitioners and like I say, and from a digitization process. So, I think we've got a really good solid base with what we're working with. And all of the things you've said has relevancy and we'll definitely take heed to what you've requested.
Unidentified Analyst: Thank you very much. Good luck.
Operator: Thank you. Your next question comes from the line of Peterson Williams. Please go ahead.
Unidentified Analyst: Thank you. How intense is the pressure from your banks with respect to the covenant issues? And what are your plans to cure them so that we can actually start to look forward to some of the exciting things you've been doing, being able to thrive?
Gary Yeoman: Yes. I, obviously, I, we talk to the banks daily. I mean, I've had a 25-year relationship with a Bank of Montreal, going back when I took all this public back in 2005. It's been a terrific relationship. They've worked with us in a very extremely fair way. I mean, they are cognizant of the impact of the economy on interest rates, and they've been willing to work with us. But at the same time, we certainly have to be mindful what our obligations are. So as a result, we issued a press release saying that we are raising some money right now to improve our liquidity and ease any concerns that they have with respect to a cohort of Adobe to run the business. We're also analyzing right now, as we speak, an ability to look at some non-strategic assets. And if we have the ability to enact on those opportunities, we'll significantly reduce the bank debt. This is all in the not-too-distant future. So, we're certainly cognizant of them being the partners they have been, and certainly in no way, shape, or form do we want to ignore what our obligations are. So we do have a path going forward. We're implementing that as we speak, and we're very confident that we're not that far away from. I mean, our ultimate goal is to have minimal debt, being cash flow positive and EBITDA positive, and having some money in the bank. And that's -- it's really, really nice. I mean, we can't and wouldn't be here today without the Bank of Montreal. They've given us the opportunity to put these strategic acquisitions together. I know for a fact that you don't measure acquisitions over the course of a month or a year. I mean, it wasn't that long ago when I bought Argus, when I was with Altus, I paid $100 million for it. And so, there is critics, three, four months later. Today, that business is probably worth $3 billion. And so, it takes time to integrate. It takes time to provide this synergistic opportunities. It takes time to evaluate the marketplace and what we can do to enhance to make it more creative. And so, listen, the bank has been terrific. We do talk to them every day. We are moving in the direction to make sure that we have liquidity. We will be reducing our debt load. And I think that with God's blessing, I mean, we'll have a long relationship with them and all other banks that wish to participate with us. We're certainly not going to abuse the opportunities that were presented to us.
Unidentified Analyst: Terrific. Thank you. Look forward to it.
Gary Yeoman: Thank you.
Operator: Thank you. Your next question comes from the line of Frederic Blondeau from Laurentian. Please go ahead.
Frederic Blondeau: Thank you and good morning. Just my question was actually on the non-core dispositions. I was wondering if you could either provide some timing or -- and/or somewhat quantify potential dispositions at this stage? Thank you.
Gary Yeoman: Yes. I think that dispositions is probably, basically what we're looking at is monetization. So, it can be -- it could be in a form of a disposition. It could be in the form of a partnership. It could be in the form of multiple areas, Fred. So, we're certainly analyzing all the opportunities before us. And we are certainly aware that, what is not negotiable is we need to mitigate the debt that we have right now. Now, listen, we're sitting here and we're making $50 million in the last year and we only have $43 million of debt. Then, that becomes a secondary concern. But where we are today, we need the bank to be more comfortable, environment that we're in. And we will work with them and do whatever is necessary to deal with that. So, again, it could be dispositions, it could be JVs, it could be various partnerships. And I think I can just leave it at that. But just be mindful that we will be doing something to mitigate the debt that we have.
Frederic Blondeau: Well, that's totally fair. And can you provide us somewhat of a timeline or it's a bit too early for you?
Gary Yeoman: I'm sorry, Fred, say that again.
Frederic Blondeau: Yes. I was just wondering if you could provide us with some kind of a timeline from here or it's a bit still a bit too early for you?
Gary Yeoman: Well, I think, Fred, that, we're aware of what we have to do. We're aware of what the guidelines that have been given. And so, therefore, it's front and center. And so, we'll do things not hastily and make mistakes, but we'll do things with much contemplation. But certainly acknowledge the fact that it has to be done sooner rather than later.
Frederic Blondeau: Okay. That's fair. Thank you.
Gary Yeoman: Thank you.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I'd now like to turn the call back over to Mr. Gary Yeoman for any closing remarks.
Gary Yeoman: Well, thank you very much. Thank you everyone for your patience. But only know that when we get off the phone right now, we're back to business, back to growing the business, back to implementing new platforms, back to expanding our client base and being the company that you originally signed us up to be. So, thank you very much. Only know that we're really, really dedicated and committed to making this a great company. So, thanks for taking the call today.
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line. Have a lovely day.